Philippe Capron: Thank you very much. Good morning ladies and gentlemen. It is my pleasure to present you with a very strong set of results for Veolia in this Third Quarter. Actually the results are pretty much in line with H1, but with an important exception, which is that we've renewed with topline momentum. Our revenue is picking up. After minus 1% constant currency and perimeter in Q1, we've had minus 1.2% in Q2 and plus 1.7% in Q3 which is of course very encouraging, the reason being mostly that previous quarter drags have stopped weighing on the underlying performance on a year to year basis, and therefore we start to see the fundamental health of the business showing up. Added to this, the cost reduction efforts have continued at a very good pace. Our yearend target of €750 million has already been met at the end of Q3, so therefore is one quarter in advance. Our current net income reaches €410 million for the first nine months. That’s around $0.75 per share. So it already more than covers our dividend. In a nutshell we can say that the annual guidance, nine months into the year is pretty much already in the bag. Moving on to Slide 4, we've had significant successes during the quarter in our traditional municipal activities. For example, with the retention of the management contract for the Rochefort waste incinerator, which is the only such equipment created in France in 2015. On page 5 you see that we have also continued to harvest large contracts in the industrial field. We have had a very notable success with Antero Resources in Pennsylvania in the Marcellus region. We will build and operate a large water treatment plant there so as to recycle the water needed for shale gas fracking. It's our first major inroad into this field in the United States in spite of low oil prices and the absence of stringent regulation. It's clearly a very good sign that even in this difficult context for the oil industry if not so much the gas industry, we see people investing on behalf of the environment and they claim to due to a financial reason because it makes more sense to reuse and recycle the water than to truck it out and dump it into deep wells. So clearly that's a very promising sign and we were very pleased that this contract was finally obtained in spite of the overall climate for the oil and gas industry. We also announced in Q3 that we will operate a large biomass facility in Ghent, in Gand in Belgium which is an interesting contract because it's yet another application of our new policy of partnering with third party investors such as infrastructure firms using the so called asset-co Op-co model. So we're not investing with our money anymore. It's an asset light type of development and coming after two large biomass facilities in Canada and the largest European such facility in Ireland earlier this year. This also is an encouraging development. And by the way it shows that the addition of Dalkia International to our overall portfolio is very helpful in terms of growth, in terms of new projects. On Page 6 we go through the results. We still enjoy a significant boost from the lower Euro of course, about 4% on both sales and EBITDA and from the Dalkia deal. This impact of course stops in Q3 because we started consolidating Dalkia International instead of Dalkia France in Q3 last year. With a stable topline constant perimeter and currency, we of course generate a significant increase of our EBITDA but that's due to cost reduction efforts which have continued. Looking at the figures in more detail, we see that the revenue reaches €18.3 billion. That's up 6%, 2.4% at constant ForEx and on a pro forma basis, meaning a constant currency at constant currency and perimeter with the movement in our revenue is minus 0.3%, but keep in mind that it was minus 1.3% in the first half. So Q3 is a marked improvement as already mentioned. For EBITDA, the figures for nine months is €2.15 billion, up 14%, 10.5% at constant currency and 6.4% at constant scope and currency. That means 7.2% increase in Q3 instead of 6% for the first half. But they're also on acceleration. Current EBIT at €942 million is up 32%, 26% of comes from currency, 23% -- 23.12% -- 23.05% that comes from scope and currency, this translates into a doubling, actually more than a doubling of the current net income at €410 million, and of course triggers a strong improvement in our net free cash flow, which is basically about zero for the first nine months, versus minus €200 million for the first nine months of 2014. This is of course before the traditional seasonal reversal of our working capital requirements in Q4. Net financial debt is just shy of €9 billion. It's slightly up compared to the previous year, but this is due to a significant €400 plus million currency impact because of our non-euro denominated debt. If we strip that off, we would have actually had witnessed a decline of €365 million of our debt. Page 7, these are basically the same pages in a different format. So I won't dwell on them. On Page 8, you can see that the geographical rebalancing of our revenue continues with a slight revenue decline in Trans due to the impact of the 2014 water renegotiations which as you remember has been -- it's particularly significant this year. This is being partly offset in Q3 but very good -- by very good water volumes due to an especially hot summer. French waste on the other hand is slightly up in terms of revenue. The rest of Europe it's slightly down. This is due to a declining PFI construction revenue. As we've seen already in the previous quarters and continued restructuring in German OET [ph], even though there is some improvement there in Q3. Central Europe has posted very solid growth and emerging markets, especially China and Latin America continue to provide good growth, actually above 15% for both of the geography. Global businesses continue to suffer from timing variations but we're not worrying because bookings are up 17% and our backlog is steady or slightly increasing at €2.5 billion. On Page 9, we've stripped the figures quarter-by-quarters so as to better show the dynamics at work there. Quarter-by-quarter improvement is very clear. For our operations, if we take out the global businesses which are mostly works related and therefore more volatile in the way they evolve, you see that the operations which were down 2.1% in the first quarter were slightly positive, 0.5% in the second quarter and sure more than 2% growth in the third quarter. So of course the momentum is very encouraging and that's due as I already mentioned to some of the negative runoffs we had suffered in H1 were in less on a year-to-year basis. I allude of course to the UK construction PFI or to the low level of energy prices in North America or the low level of the recycling prices. On Page 10, this revenue bridge shows a picture which is very similar to the one we provided you with three months ago. Volumes and price increases offsets the drop from the French water or renegotiations impact, the construction revenue declines, especially in the UK and lower prices of energy and recycles. But wait, on Page 11, the waste revenue is up 2.3%, which is thanks to volumes and prices, but also of course to the currency impact and this offsets the later construction revenue and the impact of recycled prices, even though this impact is a bit less than the previous quarters because paper continues to recover, even though scrap prices are going down. On Page 12, we give you some color on EBITDA per region. EBITDA has been stable in France, which is good knowing that we have a slightly declining revenue. This is thanks to restructuring and continuous pressure on cost of course. So rest of Europe is growing, with an especially strong performance in Eastern Europe, which has done very well this year. Germany continues to recover. The U.S. is doing well overall, in spite of lesser revenue due to impact through energy prices and emerging markets of course are doing especially well, because they are boosted by a strong top-line growth, especially Latin America and China, but also Africa and Middle East. On Page 13, looking at the drivers of this EBITDA, growth there is no surprise there, and not much news either. The main driver remains of course the cost cutting and the good news is that it flows through to the bottom-line. On page 14, we must of course -- we’re very happy with this performance of course. We must congratulate our team [indiscernible]. They have delivered at already end of September the 2015 four-year objective of €750 million of savings for the transformation plan. This does not mean of course that we will remain idle in Q4. So we’ll go above these figures as we already start working on the next plan of course for about 2016-2018. Page 15, we see that the 10% EBITDA increase translates into 32% current EBIT improvement. This is due to the fact that depreciation is flat. It's actually done on the refactoring currency. This reflects discipline over the last few years in terms of CapEx deployment. We still enjoy some of our H1 provision reversals, but they've not been increased. And we also have a bit more net income, which is coming from our joint ventures, especially our Chinese water concessions, which continue to ramp up. If we move on from the current EBIT to the current net income, our cost of debt continues to go down, thanks to our asset liability management and despite the adverse currency impact. By the way we have just renewed a five year €3 billion credit facility with 24 large international banks. This was done at extremely attractive conditions and this of course boots the liquidity of the move and its credit security. Our tax rate remains around 30%, with a growing part of our profits coming from Poland and Turkey, where the tax rate is less than the rest of Western Europe. Current income doubled to €410 million. This includes €74 million of pretax capital gain. As a comparative figure last year was €57 million. which is not too dissimilar and it also includes a negative IFRIC 21 impact of €16 million, which of course will be totally reversed by year-end over the fourth quarter. On Page 17, you see our CapEx figure, which shows that our discipline remains strong. The figure is now and actually mostly through the lesser PFI construction activity in the UK which also flows through those figures. Net free cash as already mentioned is roughly zero, versus minus 200 last year. Our net debt has started its seasonal decrease and is almost stable year-on-year, if we strip out the FX impact. It should be significantly down of course by the end of the year with the additional EBITDA being generated and the reversal of our working capital requirement. In terms of asset arbitrage, which, by the way, explains the net debt reduction before the currency impact, we've sold €363 million of assets since the beginning of the year, year being €74 million of free tax capital gains. The only new element besides Israel and Singapore District Cooling which were in H1 has been the Q3 divestiture of a 49% stake in the Changle water concession in China, which we have been operating since 2009. This is a very modest transaction in terms of proceeds, €4 million but it's undramatic. It's symbolic of the value we've been able to create there because we have had -- this transaction has yielded 13 capital gain, and a yearly return over the six-year period of investment of 9% per year. So that shows that what we can hope that what we've invested in China will end up generating good yield even though the immediate return on capital employed is still weak. Regarding SADE, the divesture process is still ongoing, and of course we’ll tell you more when we have something to announce formally. Acquisitions this year have been limited. In Q3 there has been a small acquisition but I mentioned it because it is also telling about our strategy. We've acquired in the Netherlands a small company which is recycling plastic. This gives us the ability to acquire and hopefully replicate in other geographies a useful and promising technology around a circular economy. Page 19, nothing new there. We fully confirm our 2015 guidance, especially the most important element of the guidance, which is the fact that we will of course cover our dividends, including the hybrid coupon by the current net income, and this will be financed by free cash flow excluding any financial divestments. So €500 million roughly for both indicators. You're going to ask me why we don't increase the guidance on the strength of this strong set of results, and I guess I will be making you the same answer as last quarter. So please read those transcripts again instead of asking the question. But of course we will do significantly better than the guidance. There we are and I'm now ready to take your questions.
Operator: [Operator Instructions] We have a question from Michel Debs, Citi. Sir, please go ahead.
Michel Debs: My first question is on inflation. On the one hand you have revenues in numerous contracts indexed on inflation. On the other hand, inflation of course drives your cost. So net-net, are you long or short inflation? And my second question is on cash generation. In line with your guidance, you have improved cash generation over the first nine months of the year. Could you help us get a sense of how the different divisions are doing? Are they all progressing at the same pace or are some divisions still challenged on cash generation? Thank you. 
Philippe Capron: Thank you Michel. I guess the answer to your question is in the question as you very well put it. We basically are neither short or long on the inflation. Our long term contracts are usually indexed, not so much on inflation as on factor cost inflation, meaning that it's a mixture of labor CPI or fuel or whatever other elements are relevant to determine the cost of all services. And therefore in most cases, those indexes pretty much reflect the actual nature of our cost structure and therefore we are neither long nor short. In other cases, we have shorter contracts with no indices, and in that case of course, there was a short term benefit of having less inflation. That is caught up in the Naxtree negotiation. If I take the example of fuel, lower fuel prices have boosted our earnings at the beginning of the year. That just tends to be caught up in the Naxtree negotiation because of competition, and therefore when there is a new bid for a collection contract for example, we attempt to pass on over time those advantages to the customers. In terms of cash generations, first we comp differentiated by division as we had no divisions any more, and we don't make any accounts for waste energy and water, as already mentioned and I know this is a top cultural change for you guys. I'm sorry about this. But we don't manage the business this way anymore. And in terms of geography, I would say that the performance is pretty much the same everywhere. We have some quirks here and there. For example, we have voluntarily degraded our cash generation performance in Eastern Europe to take advantage of good coal prices, and so we've made some advanced coal purchases to lock in very favorable conditions on coal prices. We have in France the Cecil mechanism, whereby we're not paying taxes in France right now. We are reimbursed only after three years. So we will be reimbursed next year. Therefore, the stock of Cecil put to us by differentiate is piling up. So you have such variations here and there, but pretty much everywhere the discipline. So the DSOs are stable. We don't see any degradations. We always have in some geographies difficulties being paid by local authorities or central governments. This is pretty much a stable picture overall. So no big changes and no significant differences in performance by geographies.
Operator: We have a question from Olivier van Doosselaere from Exane. Sir, please go ahead.
Olivier van Doosselaere: One question is on the top-line growth, where you have -- as you mentioned, you came back to positive top-line growth in Q3. I was wondering how you see that evolving further going forward. I guess Q3 was helped a little bit by the hot summer. I don't know if that will be recurring. But, more broadly, in the past you've spoken about a target to grow revenues organically by about 3% from after 2015 onwards and I was wondering if that still looks achievable today, given the tougher market that we're seeing today in oil and gas, and in mining, and also given the very low inflation environment. So I was wondering if you could comment on your medium-term growth prospects. That's one. And then the second one, if you could just give an update on where we stand with regards to the whole SNCM story, and into that the potential disposal from Transdev. Thank you.
Philippe Capron: It's a real pleasure answering questions like this, because basically you mentioned every element which I can bring in my answer. Yes, we're happy of course with the performance in terms of top line. As I mentioned, it is due to a large part to the fact that we are stabilizing in a low price level environment for recyclates and/or oil and gas prices or energy prices more generally and therefore year-on-year it stops being a drag. So, that's -- and therefore on the line growth of our business is starting to appear. For the future, it's extremely difficult to make any predictions. Clearly the low inflation environment will make it more difficult to reach our 3% vision, our long-term objective. Clearly we see emerging markets in some cases, slowing down, not so much China; but China does have a knocking impact on many of our other markets, not to mention European markets, which we don't see recovery yet. Oil and gas has a mixed effect. It means that large oil and gas projects are being postponed with some important exceptions, as we've seen with Antero in the U.S. But at the same time it also means that downstream oil and gas refineries, which is a large part especially of our North American industrial services activities, are doing better. They're less squeezed in the present environment and therefore we have some interesting opportunities there. So, it's a mixed blessing. It's really too early to say. For the end of -- we're confident for the end of the year, even though you're right, the water volumes increase which we've witnessed in France or Central Europe, we'll not procure in Q4. But overall we are fairly confident that the momentum will continue. For the year after it's very difficult. But as you might have -- it's probable that the 3% as early as 2016 will be challenging. But as we deploy CapEx in the future, we still feel that this can be achievable over the long run. For SNCM, I dare not make any predictions any more. The good news is that after three successive meetings which had been adjourned by the tribunal, the Congress tribunal in Marseille, they at long last yesterday agreed to examine the four proposals by new perspective shareholders of the Company. The tribunal is supposed to publish its decision on November 20th. That's two weeks from now. So we're waiting to see it, at long last they do take a decision, it will be the first anniversary of the Company going into chapter 11. So we feel that the decision has been long overdue. And then if the decision is to award the company to a new shareholder, then we will be home free, because the agreement we have with the court covering -- Transdev and the French state covering, the cost of the redundancy plan in exchange for the abandoned past liabilities for the management of the company will coming to force and will then open the way to a progressive disengagement from Transdev.
Operator: We have a question from Harry Wyburd from Merrill Lynch. Sir, please go ahead.
Harry Wyburd: Just a couple of questions from me. So firstly, on your Romanian activities, there's been some press reports that Apa Nova, your subsidiary, or some individuals involved with that have been charged. Could you let us know what you think the implications of that might be for you? And also, the Romanian press was saying that this division accounted for about €32 million of net income in 2014. Could you confirm whether that is correct? And then secondly, on the capital gains side, you mentioned that you've got SADE still to come in the asset arbitrage bucket. Is there anything else that you might be looking to sell down in 2016? And then secondly, you booked about I think it was 53 million of pre-tax provisions and fair value adjustments in the nine months. Would you expect to be at a similar level in 2016 or should we expect that to flatten out to zero next year?
Philippe Capron: On Romania, Apa Nova, which is our Romanian subsidiary, which distributes water to Bucharest has been indicted by the local prosecutor. This is a long history of our Apa Nova executives our ex-executes. This is in the context of a very large series of investigations in whole being other local or western companies, as well as numerous elected officials. The only thing we can say at this stage is that Apa Nova continues its operations. We’re actively cooperating with the investigation. We have suspended the executives involved and appointed temporary replacements pending the outcome of the investigation. We've also suspended the contracts with local providers, which are the reason for the investigation but so far the company continues to trade on like some other companies in the same situation. Our executives have not been put into jail, unlike again about half of the mayors in Romania and the large number of executives. And in terms of -- and therefore we don't know, because we've not had access to the case yet. Even though we've been indicted we’re waiting for the details of the case to be put to us. The only thing we know; we know though the press because the Romanian prosecutors speaks to the press a lot. But we don’t know a lot. So ourselves are investigating and we’re actively helping the investigation to understand if there is any substance to those accusations. In terms of contribution to Veolia, the contribution in terms of net income is actually less than €20 million. It's not the €32 million number you mentioned. But again this contract has been obtained under World Bank offices 15 years ago. We had another 10 years to go and we have no reason to fear that the Company would have to stop trading. The second question was on disposals. After we have done the SADE disposal and of course having the Transdev special situation in mind, we have no significant sale being contemplated at the present time. This is going to always evolve. Especially we always say that if we had very large acquisition to be in our sights, we would have to finance it through a significant sale, because we don't want to increase debt at this stage. That’s all we can say at this stage. And your last question was on the €53 million pension reversal. on page 15. This was in H1 as you remember. This is actually a fairly large series of such net reversals. It comes along with some new provisions being taken on other things. It's by definition not non-recurring. It's not something which we’ll -- we do expect to continue for Q4 or for the next quarters. 
Operator: We have a question from Martin Young, RBC. Sir please go ahead. 
Martin Young: Firstly, on waste volumes, we'd be very grateful if you could possibly give a little more granularity on the evolution of waste volumes by key geographical markets. And then secondly, on the dividend, given an excellent performance at the bottom line and your indications that the guidance for 2015 is in the bag, I just wondered when you might be thinking about moving the dividend in an upward direction. I guess 2015 is too early, but could we possibly see something in 2016?
Philippe Capron: Regarding weak volumes, our third quarter volumes in West were flat. This is compared to Q3 in 2014, which was positive by 1%. So they are flat on a fairly good level. Western European trends remain very sluggish. Though we show a slightly improvements in Germany, meaning a less negative trend. But of course, as you know, some of our volume in Germany, our volume decline in Germany self-inflicted as we restructure the business and concentrate it on our most profitable sites and activities. In more dynamic markets we saw an acceleration in volume growth. That includes Australia and Latin America and in particular China where we're benefiting from both a strong presence and noted expertise especially in hazardous waste. More generally hazardous waste continues to remain strong everywhere, with an acceleration of that trend in Q3. So overall as always, a mixed bag in terms of returns and emerging markets which offset the declining trends witnessed in Europe. On the dividend, I'll relay your question to the board of course. But kidding aside, we'll of course give more -- we'll give you more indications on this at the Investor Day on December 14. But I do hear you loud and clear, and Antoine Frerot does hear you loud and clear as well.
Operator: We have a question from Julie Arav, Kepler Cheuvreux. Madam, please go ahead.
Julie Arav: Yes, good morning. In fact, my questions have already been answered.
Operator: We have a question from Emmanuel Turpin, Morgan Stanley. Sir, please go ahead.
Emmanuel Turpin: Waste business construction activities are volatile and they mess up a little bit the long-term trend analysis. Would you be able to provide us with the absolute numbers for construction revenues in the waste business in the nine-month 2015 as well as nine-month 2014 please? Secondly, in terms of working capital, Philippe, you mentioned the of course seasonality of working capital. Could you remind us what the magnitude of the reversal in the previous fourth quarter is, so that we can calibrate our expectations? And last, trying to manage our own expectations in terms of the format for your Capital Market Day on December 14. The press release says that you will provide fresh three-year financial guidance. Is that correct? That's for the medium-term guidance, as opposed just to the year, one year that we have been accustomed to in the past few years. And secondly, just in terms of format, at what level of the P&L are you thinking about providing guidance?
Philippe Capron: Thank you, Emmanuel. In terms of construction for the PFI in the UK, the figures for the nine months '15 is €64 million, whereas it was €109 million for the previous year. In terms of working capital requirements, we are pushing the businesses to generate as much as they can, but we expect something around €600 million -- €550 million to €600 million reversal for Q4. The format of the Investor Day is still of course a little bit work under construction, but it is certain that we will announce figures relating to the three-year plan '16 to '18. I would beg to differ with your comment. In the past years we also had provided a multiyear guidance, so called transformation plan, which lasted four years and ends at the end of this year. And in terms of the metrics, we will probably not guide you on every -- we'll not make every figure of the P&L of the cash flow statement into a firm guidance but we will give you color on the whole P&L of course, and the cash items.
Operator: We have no question for the moment. [Operator Instructions] We have a question from James Brand, Deutsche Bank. Sir, please go ahead.
James Brand: Hi. Just a quick question on Transdev. I was wondering whether you could tell us how much it made in the first nine months of the year and whether you are getting any closer to selling the remaining stake?
Philippe Capron: Transdev has done extremely well in Q3 which is traditionally its strongest quarter. Actually they doubled their net income, which was $50 million at the end of the first half and which now stands above a €100 million. So this is not shown in our accounts because we don't publish the IFRS reported net income for the nine months, but it is -- thanks to the contribution of Transdev well above the current net income. This performance however will probably not last because Q4 is a much weaker quarter, traditionally in their usual seasonality. So you should not take the figure and add another $33 million or $50 million to it. It will probably be a significantly less than that. So, Transdev is doing well and of course this makes us very hopeful that as soon as the SNCM transaction is done, Caisse des Depots would be happy to give us a very good price for the Company. I hope they are listening.
Operator: We have a question from Guy MacKenzie, Credit Suisse. Sir, please go ahead.
Guy MacKenzie: Two quick questions from me. Firstly, on your China joint ventures on the municipal water concessions. If I remember correctly, you had about a €1.5 billion invested in those concessions as of last year. $you mentioned returns are still weak. I think they were below 1% or so in 2014 because you had some delays coming through on the price rises. But obviously on the disposal of Changle, you actually got about 30% value accretion. I was wondering -- I realize this specific deal was small, but could you tell us, A, who the buyer of that concession was? And, secondly, if you would potentially look to sell more of those water concessions? Second question is on global businesses. You delivered flat revenue quarter on quarter, despite the year-on-year decline in oil and gas prices. I was just wondering if you could provide some detail on the areas within global businesses that are performing sufficiently well to offset the challenges there. And also if you're able to give any guidance, specifically on the year-on-year decrease in revenue from the oil and gas sector.
Philippe Capron: Okay. For the China joint ventures, you have the figures right. We have invested in the nine, now eight concessions and we operate in China about €1.5 billion. The yields it generates are still insufficient. They're above the 1% figure you mentioned and they are going up significantly. We are increasing this yield over time. As planned actually, in spite of sometimes the delays we suffer in terms of getting the price increases, at the end of the day we get them and things are still according to plan. Hence, as you've seen in our accounts, the lack of any significant impairments of those concessions over the past two years. In the case of Changle, it was of course a specific situation, you're absolutely right. The buyer was our local partner, the municipality. And we intend to continue to test the water now and then and to be opportunistic Clearly at the present side of Veolia, it was less true 10 years ago, but at the present side of Veolia and the real present market gaps, this is a lot of money which we have invested. We think that the debt we'll payoff. But if over time we can reduce somewhat our exposure, we will do it, especially as that's the way we intend to finance possible new developments in China, especially around hazardous waste or industrial water, and which we have both identified as probably more promising areas. But of course as we don't want to have too much capital employed in China, it's already above 15% of our global capital employed. So the country that deserve it, given its growth prospects and its environmental challenges, but still it's a lot of money. So we want to harvest the right fruit baskets before we commit to a lot of new money to China. So we'll be opportunistic and we'll seize any opportunity and if our concessions continue to develop, then we'll have such opportunities where we are sure to create value by disposals. In terms of global businesses, as you know it’s a mixed bag. We have different forces at work. The SADA operations are still suffering because of the reduced means of local authorities in France and other western European countries, but they've been able to offset this through growth abroad. So that overall SADA is showing at 3% gross in Q3. Our Global Water Works activities, GWT is down minus 3% but it is after minus 4.5% in the first half, and it's mostly a question of timing. We don't have big desalination contracts being done right now and those big elephants are the drivers of global activity. We have lot of smaller contracts but these big ones are the ones which brings the variations. We have some in the pipeline. So this situation might be reversed in the future and of course we’re mostly interested not in sales, but in margins and therefore in a competitive environment. We’re not going to take a contract if we don't feel confident that we will be able to execute them to profit. Hazardous waste continues to be well positioned. As I mentioned, we've had 3% increase in Q3, which is encouraging because the first half of the year was much more difficult, especially as the first quarter. So a mixed bag is offered. The last question is the most difficult to answer, because we do lot of different things for oil and gas. Clearly for upstream as we've seen with the Shell announcement around Carmon Creek, the large projects are being delayed or altogether abandoned. So this is not supportive for our activity there. But as you've seen with the Antero contract, you can have notable exceptions and we expect that long-term there is absolutely no doubt that A, the oil and gas industry will use more and more water; and that B, local regulations or just plain simple economics will force the operators in the oil and gas field to operate more cleanly and especially to tap less water and reuse and recycle what they've tapped. So we remain very positive for this sector, even though it's fair to say that as long as the oil prices do not recover there will be less upstream contracts. But again today we've more activities downstream and upstream even though our ambitions are to develop large objects upstream and therefore downstream, it's not so bad because refineries are not squeezed as they were when oil prices were much higher. 
Operator: We have a question from Vincent Ayral, Societe Generale. Sir please go ahead. 
Vincent Ayral : Two very quick questions. One, regarding estimates going forward, I'm interested to know if you have any quantification for the one-off of this year. I'm thinking here, among the ones we did not discuss, whether any impact of the lower oil and gas prices get a contradiction for the impact in 2015 or at least at the nine-month stage? Second question would be, as we are changing the reporting here and losing the visibility on per-type-of-activity base, I would be interested in knowing what was the assumption taken when you did the deal on Dalkia on a normalized profitability for what used to be called the energy division?
Philippe Capron: Your first question was what, the quantifications of the one-offs this year?
Vincent Ayral : Yes. What the volume….
Philippe Capron: [Indiscernible] revenue or EBITDA?
Vincent Ayral : I would do EBITDA.
Philippe Capron: We have no -- you can go through the details with the IR team, but I would say we have no significant run-offs this year. We've had a poor winter in Q1, almost as bad as 2014. So that has not helped. We had good Q3 in European Water until the hand and I guess one just about offset the other I would say plus -- minus €30 million for Q1 in weather and plus €30 million or €20 million, also including Eastern Europe probably €30 million for the hot summer. And that’s where we’re. Those are the two most notable ones. I can't think of any other elements which would really not be recurring. So that’s was your first question. For the second question, for Dalkia, well, the main driver is of course the winter weather because we are selling -- increasingly we’re selling cold as well, but still we’re more selling heat. We’re usually pass-through on energy. So this is relatively irrelevant, even though we are selling -- with co-generation we’re selling some electricity in Germany and Eastern Europe. And of course, that is a drag on our profits, given the very low prices of electricity, especially in Germany. But the main driver remains as the winter in Q4 and Q1. So the jury is still out on this one for this year and especially for Q1 of course because we don't know what the climate will be. But overall we are very pleased with our energy division. It's been totally and quickly incorporated within all the geographical activities under the same roof, and very often split into municipal and industrial, the way we now mostly manage the business country by country. It's providing a series of tools and skill sets and technologies which are very often complementary to the global offers we're trying to develop on behalf of our industrial clients. And as we've seen with the biomass projects, which we have mentioned, it is often one of the significant drivers of our businesses in the various geographies. Also the, under the new impetus we've given to all our businesses, we've had good success in terms of cost reduction in those businesses, which maybe had been under a bit less of pressure during the interim time when the future was being decided. And of course integrating the ex Dalkia activities on a country-by-country basis has mechanically generated synergies as we have moved to a common roof, a common back office, a single CEO and CFO and a single headquarters.
Operator: We have the last question from Emmanuel Turpin, Morgan Stanley. Sir, please go ahead.
Emmanuel Turpin: A follow up on free cash flow generation in Q4. You answered my question previously on working capital very clear and very positive. Just wanted a quick word on CapEx on Slide 17. The nine-month CapEx is slightly down on last year, about €900 million. Would you mind updating us now your full-year expectations? Now that you're very close to year-end you should have a pretty good idea. And what you expect essentially in Q4 for CapEx?
Philippe Capron: Okay. We always have, [indiscernible] was more CapEx in Q4. So we don't expect CapEx to be limited to 133%, which you observe after nine months. Our budget basically €1.6 billion, forecast to the internal indications by our businesses of where they plan to land is still close to 1.6. We suspect they won't be able to make it and will probably be closer to 1.5. The reason behind this seasonality in particular is that Francoise, Antoine and myself only release the full year CapEx envelope when we start to view how the year develops; when we have especially, at least the Q1 earnings and a good indication of how Q2 is unfolding. So our CapEx spending tends to be concentrated at the end of the year.
Operator: We have no other question, Mr. Capron, back to you for the conclusion.